Christie Masoner: Welcome to GoDaddy's Third Quarter 2024 Earnings Call. Thank you for joining us. I'm Christie Masoner, VP of Investor Relations, and with me today are Aman Bhutani, Chief Executive Officer; and Mark McCaffrey, Chief Financial Officer. Following prepared remarks, we will open up the call for your questions. If you'd like to ask a question on today's call, please use the raise hand feature in the webinar to be added to the queue. On today's call, we'll be referencing both GAAP and non-GAAP financial measures and other operating and business metrics. A discussion of why we use non-GAAP financial measures and reconciliations of our non-GAAP financial measures to their GAAP equivalents may be found in the presentation posted to our Investor Relations site at investors.godaddy.net or in today's earnings release on our Form 8-K furnished with the SEC. Growth rates represent year-over-year comparisons unless otherwise noted. The matters we'll be discussing today include forward-looking statements such as those related to future financial results and our strategies or objectives with respect to future operations. These forward-looking statements are subject to risks and uncertainties that are discussed in detail in our periodic SEC filings. Actual results may differ materially from those contained in forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, October 30, 2024, and except to the extent required by law, we undertake no obligation to update these statements because of new information or future events. With that, I'm pleased to introduce Aman.
Aman Bhutani: Good afternoon, and thank you all for joining us today. At GoDaddy, our mission is to empower everyday entrepreneurs and make opportunity more inclusive for all. Our strategy is relentlessly focused on creating customer value and transforming it to shareholder value through better conversion, attach and retention. This is the driving force behind our profitable growth model, propelling us towards our north star of maximizing free cash flow over the long-term. Our strong Q3 results demonstrate our effective execution of this strategy, delivering both innovation and operational efficiency. We drove meaningful growth in free cash flow increasing 29% year-over-year, and application and commerce bookings were up 20% and normalized EBITDA margin expanded by over 400 basis points. We are excited to share updates on our growth and margin initiatives driving success in 2024. Pricing in bundling, seamless experience, commerce and cost optimization are all ahead of schedule, driving the strong results mentioned. The enthusiasm for GoDaddy Airo continues to vibrate within our teams. And along with an update today, we are looking forward to more live demos at our investor dinner in early December. Pricing and bundling continues to deliver solid results with productivity-focused efforts remaining a key contributor to the 20% application and commerce bookings growth this quarter. As we have said before, we view the pricing and bundling initiative as a multiyear journey that leverages our software platforms, vast data and machine learning capabilities allowing us to bundle solutions in a way that offers greater value to customers with pricing aligned to the value delivered. While our efforts this year have been concentrated on productivity solutions, we will expand the initiative across more of our product suite, extending this initiative beyond the application and commerce segment. Putting a finer point on this, this means the financial impact of pricing and bundling can favorably drive growth in both A&C and Core platform segments starting in Q4. Our seamless experience initiative exceeded expectations as we continue to remove friction in the customer experience and improve purchase, onboarding and renewal path. Given our scale, even modest improvements in conversion and renewal can yield meaningful results. In Managed WordPress, we added security enhancements to all new domains attached to the platform as well as expanded AI-powered features, making it easier for customers to build and manage their websites. Additionally, with the recent launch of the GoDaddy Digital Marketing Suite, we are giving customers an intuitive all in one product to help grow and market their businesses regardless of where their website is hosted. Features like these empower our customers to better acquire, engage and expand their own customer base. For our commerce initiative, we continue to enhance our offering by introducing new AI-powered features that simplify operations for merchants. The two new SaaS plans we launched last quarter, Point-Of-Sale Plus and Invoicing Plus have had positive adoption trends since being fully rolled out. We have set aggressive attached targets, and the team is making progress against them. Finally, within our cost optimization initiative, we augmented care interactions in 20 international markets with our new generative AI-powered conversational bot providing our customers with better instant self-service access to solutions for common issues. We found that use of this technology led to double-digit improvement in containment rates, representing a savings of over 16 million incremental contact minutes without sacrificing customer satisfaction. We are excited with the progress on the conversational bot and along with GABI, we expect these to continue to drive leverage in care while delivering a better experience globally. And Airo is starting to provide a magical experience to customers that we aspire to provide across every interaction. It is a compelling proof point to our multiple year journey to successfully leverage our software platform and unleash the combined power of our infrastructure, large-scale data, experimentation, AI and machine learning capabilities. With the capabilities of Airo, we evolved the domain to represent so much more. It is now a gateway to a true business-in-a-box experience, allowing our customers to go from idea to online in minutes. Our teams are moving at a fast pace even before celebrating the one-year anniversary of the initial customer testing for Airo, it was available in over 180 countries globally. Nearly 3 million customers have discovered Airo with over half of them engaging with the experience. We are pleased with the momentum in discovery and engagement and just as exciting are the proof points we are driving in Airo monetization. With many months of data, we can clearly see that the largest engagement winner is website building. Over half of engaged users published a coming soon page, which is a customizable one page website. Customers engaged with Airo are quickly becoming the largest funnel for websites plus marketing with over 40% of websites plus marketing paid subscriptions in Q3 originating with the Airo experience. Our goals with Airo are about discovery, engagement and monetization. And with these large discovery and engagement numbers and multiple paths to monetization, Airo is off to a great start. And there is so much more we can do given the positive traction we are eager to expand the Airo experience across all on-ramps at GoDaddy, and we plan to increase investment in marketing initiatives to support this broader launch. So far, the customer exposed to Airo starts with a domain purchase. And in the next few weeks, we will start rolling out Airo to customers that start with a website purchase. Just as websites have become the highest attached product for domains on Airo, we expect to drive attach with other products when every website customer starts with an Airo experience. This underscores our commitment to rapidly scaling products enabled by Airo as it continues to transform the customer experience and drive new avenues of growth. We look forward to showing you more during our upcoming investor dinner event on December 3. We plan to showcase paid tiers for Airo with premium offerings like advanced logos and imagery as well as AI-powered marketing tools to help our customers grow their businesses. Equally exciting, we will highlight our conversational experience to building and maintaining word press sites, which reimagines harnessing the power of WordPress through a simplified intuitive interface. We will also demo our site optimizer tool, which can inspect any website and provide actionable recommendations to improve performance with just a click. While these products themselves will be brand new, they represent our continued focus on leveraging AI and machine learning and our unique scale and data to deliver magical seamless experiences for our customers. We are thrilled to give you a first look at these innovations that will drive our growth and success in the future. In closing, we remain steadfastly focused on executing our key growth initiatives. I am delighted with the speed of execution and our relentless commitment to help our customers thrive. The GoDaddy team remains dedicated to propel profitable growth and create enduring shareholder value. With that, here's Mark.
Mark McCaffrey: Thanks, Aman. We delivered strong Q3 results, demonstrating our disciplined execution of the strategy we shared at our recent Investor Day. Our focus on building increasing customer lifetime value through developing and delivering seamless technology that drives conversion, attach and retention is demonstrated in our financial results. In the third quarter, we drove sustained double-digit A&C revenue growth, increasing 16% as well as impressive normalized EBITDA margin expansion to 32%. We made progress toward our North Star, growing free cash flow 29% to $363 million. In addition, we continued to execute our disciplined capital allocation strategy, which focused on share buybacks, reducing our fully diluted shares outstanding to $144 million. Total revenue grew to $1.15 billion, up 7% on a reported and constant currency basis. For our high-margin A&C segment, we drove 20% growth in bookings and 16% growth in revenue to $423 million, in line with our guided range on the strong performance of the growth initiatives Aman spoke about earlier. The segment EBITDA margin for A&C improved to 46% on the strength of our high gross margin proprietary solutions partially offset by the strong performance and lower gross margin profiles of our commerce offerings and third-party solutions. A&C segment EBITDA was also boosted by significant leverage gains across all operating expenses. Our proactive effort to simplify our infrastructure and recruit global talent were the main driving factors behind this strength. In addition, ARR for Applications & Commerce grew 15% to $1.6 billion. We delivered $725 million of revenue for our Core Platform segment representing growth in revenue and bookings of 3%, in line with our guided range. Performance this quarter reflected the strength in primary domains partially offset by hosting divestitures and end-of-life migrations. Segment EBITDA margin for the Core Platform grew to 33% and ARR for our Core Platform segment grew 4% to $2.4 billion. ARPU grew 8% to $215 on a trailing 12-months basis, while our customer count declined slightly to $20.7 million. With the previously mentioned divestiture and migration efforts behind us, we expect to return to customer growth in 2025. Currently, our consolidated customer retention rate remains at 85% and over 50% of our customers have two or more paid products with us. Moving to profitability. We drove expansion in normalized EBITDA in the third quarter, growing 24% and to $367 million and delivering an expanded margin of 32%, up over 400 basis points. This was driven by the gross margin tailwind noted above, coupled with operational discipline that drove leverage in our P&L. The front-loaded benefits of our 2023 restructuring, infrastructure simplification and global talent recruitment are evident, and we are pleased with these accomplishments. As we look forward, we remain on track to deliver our Investor Day targets of approximately 33% by 2026. Additionally, as we look to the upcoming quarters, we expect to increase investment in marketing to support our broader launch of our Airo enabled solutions to showcase our top-rated AI website builder and capture customer demand. On bookings, we delivered $1.2 billion in the third quarter representing 9% growth on both a reported and a constant currency basis. As a reminder, bookings primarily represents the cash collected during the period. Subscription bookings grew 2 points ahead of subscription revenue. Unlevered free cash flow for the quarter grew 25% to $399 million, and free cash flow grew 29% to $363 million. Capital expenditures were down approximately 46% because of data center divestitures. Through October 28, we repurchased 5.2 million shares year-to-date, totaling $668 million. We repurchased 39.4 million shares for $3.2 billion under our current authorizations, and we have $767 million remaining. We drove a 23% reduction in gross shares outstanding since January 2022, 3 points ahead of our three-year targeted reduction of 20%. At the quarter end, 144 million fully diluted shares remain outstanding. On our balance sheet, we finished Q3 with $767 million in cash and total liquidity of $1.8 billion. Net debt was $3.1 billion, representing a net leverage of 2x on a trailing 12-month basis. Pivoting to our outlook. We are raising the full-year revenue guide to $4.545 billion to $4.565 billion, representing growth of approximately 7% at the midpoint of our range. For the fourth quarter, we are targeting revenue between $1.165 billion and $1.185 billion, also representing growth of approximately 7% at the midpoint. In Applications & Commerce, we expect mid-teens revenue growth for Q4 and the full-year. In Core Platform, we expect low single-digit revenue growth in the fourth quarter and the full-year. As our track record demonstrates, we are committed to maintaining our operational discipline driving further operational leverage in our model and expanding margins. Including the additional marketing investment we expect to make in the fourth quarter, we remain on course to deliver a 31% normalized EBITDA margin. Given our year-to-date performance, we are also raising our full-year normalized EBITDA expectation to 30%, keeping in mind our nearly 1:1 normalized EBITDA to free cash flow conversion ratio, we are also raising our unlevered free cash flow target to $1.475 billion plus and free cash flow to $1.325 billion plus for the full-year. Our disciplined capital allocation approach remains unchanged, and we will evaluate all opportunities for shareholder return according to our rigorous and returns-based framework. We are committed to the path we outlined at our Investor Day, executing our strategy to deliver both durable top line growth and expanded profitability as we drive toward our North Star. Our robust cash generation, strong balance sheet and capital allocation framework underpin our investment thesis and power our ability to create enduring value for our shareholders. We are pleased with our progress towards our Investor Day target of $4.5 billion plus in cumulative free cash flow generation supported by 6% to 8% annual revenue growth and expansion of our normalized EBITDA margin to 33% by 2026. Lastly, we look forward to welcoming you to our annual investor dinner on December 3 in our new Tempe, Arizona headquarters. I will now turn the call over to our Vice President and Head of Investor Relations, Christie Masoner, to open the call for your questions.
A - Christie Masoner: Thanks, Mark. [Operator Instructions]. [Technical Difficulty] Please go ahead.
Unidentified Analyst: Hey, thanks. Can you hear me?
Aman Bhutani: Yes.
Unidentified Analyst: Hey, great. Thanks. Hey, I wanted to ask two questions about the Applications & Commerce segment. The first one is on bookings growth. Yes, I realize you don't guide to that metric, but just wondering if you could give us any thoughts on how that could track in the fourth quarter this year and some of the puts and takes we should be considering for bookings growth as we go through the rest of the year. And then second, this is your third straight quarter now of Applications & Commerce, bookings growth of 20% or higher. And so I'm wondering if you could remind us of the relationship between that metric and forward revenue growth for that segment and some of the puts and takes that influence the conversion there. And specifically, if I go back to the Investor Day, you talked about this segment being a low to mid-teens type of revenue grower. But just given the bookings momentum that you've seen to date, should we be thinking about a higher level of growth in the near term for that segment? It would be great to get any thoughts on those topics, and I'll leave it there. Thanks.
Mark McCaffrey: Thanks, Vik. And a couple of things, right? One, yes, bookings acceleration can be a tailwind for us in revenue. So that is a factual statement. Things to consider when we're really looking at the difference between the two is the timing with -- especially with our A&C, we have multiple different timing depending on the product mix within that group. For example, transactional and commerce. We have monthly terms. We have annual terms. We have multiyear terms. Do you really have to look at it on a broad spectrum of what products are being sold, what the mix is. And yes, it will help our -- be a tailwind for us on revenue in general. We're really excited about the momentum. Obviously, we'll talk a little bit more when we get to the Q4 earnings call about 2025. But we're comfortable with the 6% to 8% growth we talked about over the three years. We do think for the year, overall bookings will outpace revenue by about 2 points and that is obviously being pushed a lot by the A&C.
Unidentified Analyst: Okay, great. Thank you.
Mark McCaffrey: Thanks, Vik.
Christie Masoner: Our next question comes from the line of Trevor Young from Barclays. Trevor, please go ahead.
Trevor Young: Great, thanks. First, just on the pricing and bundling going forward. I think you made comments that it's an opportunity near term in Core Platform. Can you expand upon that a little bit? Should we assume that, that's going to happen in some of the bigger line items such as domains? And then second question, aftermarket growth slowed quite a bit in 3Q, kind of flattish year-on-year versus double-digits earlier in the year. Was that consistent with your expectations? And was there anything kind of onetime there? I know it's very transactional in nature, so tough to predict, but just any color on what's going on in aftermarket would be helpful.
Aman Bhutani: Thanks, Trevor. I can take the pricing in one-line approach. As we've talked about, pricing and bundling is about finding the right cohorts of customers, where we can provide the right value to customers and then price along with that value. And the way we do this is that we experiment at different price points of find the price elasticity curve. And then what that curve helps us do is find the right cohorts where we can sort of balance attrition for customers, right, or let's say, retention of customers with the pricing opportunity in front of us. And that's a great balance. Right at the company, we want to drive as much growth as we can while maintaining our high customer retention rates. So for pricing and bundling, that approach of using machine learning, using experimentation, using the scale of our data and our competitive advantages there, we can direct that way of working across our product suite and cohorts within that product suite. So what we're really -- what I'm really talking about here is that we have identified other cohorts of customers that we will be applying this approach to. And some of those are going to have products that sit in the Core Platform, which is now going to take sort of the benefit of pricing and bundling across both the segments.
Mark McCaffrey: And Trevor on aftermarket, yes. Just a reminder, it's a volatile business. We think over time, it will be a low single-digit dollar. And we always talk about there could be volatility from quarter-to-quarter. This quarter, it was down slightly. Nothing to call out in and of itself. We saw some pressure on valuations at the lower level, all of the demand seem to continue. And again, we don't control the pricing on the aftermarket. It's a buyer to seller green pricing. So again, thesis still holds. We believe it will be a low single-digit grower over time, and we'll see a little bit of variability in the quarter-to-quarter and we'll just call it out.
Trevor Young: Great, thank you both.
Mark McCaffrey: Thanks.
Christie Masoner: Our next question comes from the line of Ken Wong from Oppenheimer. Ken, please go ahead.
Ken Wong: Can you guys hear me? Okay.
Christie Masoner: Yes.
Ken Wong: Okay, perfect. I just wanted to just touch on an earlier statement that you made in terms of resuming customer acquisition in 2025. Was that just generally meant as a sort of as you anniversary the divestitures? Or should we assume a heavier pace of investments in '25 to kind of pursue a more attractive growth opportunity?
Mark McCaffrey: Yes. So the first part of it is, yes, it was just to call out that we are lapping the divestitures, the integrations and the end-of-life we've talked about previously. And as we start to lap them throughout this year, net customer adds will have -- that headwind will go away. And Aman, if you want to comment on the marketing, what we talked about.
Aman Bhutani: Yes. Look, we're super excited, Ken, about the product portfolio we have in play right now, brought together by Airo, just an almost magical experience for our customers. We've got the product rolled out, we've always had sort of very good guardrails for our marketing spend. But given the product offering that we have, there's an opportunity for us to spend up in marketing, and we do expect to get more customers as a result of that. And like Mark said, there is a normalization of the divestitures and some of the actions we've taken. It also includes some actions that we took with viral offers that we have out there, and we're going to lapse on that too.
Ken Wong: Got it. And then maybe a quick follow-up on a similar question to Vikram. A&C ARR accelerated on a tougher comp. Is that something we could continue to see considering the pace of A&C bookings at that 20% level?
Mark McCaffrey: Yes. So higher level, obviously, as we go into Q4 and into 2025, the strength of A&C will get harder to compare to. So on a percentage basis, we like the momentum overall that will continue. But obviously, the percentage comps get a little harder as we go on into next year.
Aman Bhutani: And just to confirm, I think you have the sort of A&C comparatives from last year for Q3 and Q4, and you can see the sort of step up in Q4 comps that happens.
Ken Wong: Perfect. Thank you guys.
Aman Bhutani: Thank you.
Christie Masoner: Our next question comes from the line of Ygal Arounian from Citi. Ygal, please go ahead.
Ygal Arounian: Hey guys, good afternoon.
Aman Bhutani: Hey, Ygal.
Ygal Arounian: Great to see some of the early starting points with Airo and Aman, you called out some of these things around the engagement that we're seeing. Last quarter, you talked about -- start to put in some paywalls testing around that. I want to see how that's progressing and then maybe kind of connecting the dots with the engagement and the expectations around moving in into the starting point of the website piece versus the domain piece. And are you starting to see a real kind of financial results, presumably if -- what was it 40% of what's that spot marketing subscriptions are originating with Airo? That means yes. But maybe just help us understand that a little bit better.
Aman Bhutani: Yes. Thanks, Ygal. So the progress with Airo goes on a time line of discovery, engagement and monetization. And Discovery is about getting Airo in front of as many customers as possible and getting them to just discover that GoDaddy has a breadth of products available to them. The engagement piece is about getting them to engage in some of those products. And you'll remember that we call those Airo cards, getting customers to click on them, engage with them, set something up. And we're seeing really good traction on discovery and engagement. And what we did over the last quarter or two is that we started to put up paywalls where along with that engagement, if, for example, a customer got a coming soon page and wanted -- and was able to customize it a little bit, if they wanted to do more a paywall would appear and say, you need to buy subscription or websites plus marketing. Now it is possible that, that customer would have bought it anyway, two months, three months down the line, and we would have gotten that attach. But what Airo offers is the ability for us to paywall right there, get the customer to make that decision. And that paywall is actually connected to the 40% that I talked about today. And what that is about is that Airo is becoming a bigger and bigger on-ramp for our website products. And today, we have two in Airo. We have a coming soon page is doing really well and we have websites plus marketing subscription. And as Airo becomes a bigger on-ramp, Yes, of course, we're happy to see that monetization happens, but what that opens up in the future is paywalls an opportunity to sell other products because we do see in the customer behavior that customers have a need for the other offerings that we have. It's just that today, they don't discover those offerings. They don't engage with those offerings, and they definitely don't see a monetization for it. But Airo is going to let us do that, which is follow the customers, they have those subsequent needs with the paywalls in front of them. So this website paywall story is a very good story. It's a new -- it's, of course, an only story, and it's the first big one for Airo. But we have similar work in logos. We have similar work in images. These are things we're going to demo at the investor dinner. We have some work happening with palings that come with Airo and a couple of the others as well.
Ygal Arounian: Okay. Great. And maybe one more on the bundling initiatives. Still, I think, if I'm understanding correctly, still majority focused on the productivity suite. You called out a few specific products in the past quarters. Maybe if you could update us on where you are within productivity? And could we expect to see that come out with commerce in the coming quarter or two? Thank you guys.
Aman Bhutani: Yes. Our pricing and bundling, the folks working on it really have the ability to test across various customer cohorts and what they're looking for are the cohorts where we can generate the best results fastest. And the best result here means creating that customer value, and then being able to monetize that value as well. So when I look across our products, we have other products to go that are much larger in terms of the base of customers. So we think that those likely are going to offer some of the better opportunities, but we'll keep you informed just like we did with productivity. I think you remember last year, we did apply this thinking to multiple products. And then we said, what you're going to see stronger or a large chunk of the return come from productivity, because we're going to zone in on that because that's where we see the opportunity. Similarly, as we go over the next few quarters, we'll sort of guide you better on where we're seeing that return. But our testing this year as we plan for next year is going well. And one of the things that we have shared today is that we see ourselves going across customer cohorts that now will be in A&C and in Core. So you'll likely see a little bit different behavior going into next year than you did this year.
Ygal Arounian: Got it. Thank you so much.
Aman Bhutani: Thank you.
Christie Masoner: Our next question comes from the line of Arjun Bhatia from William Blair. Arjun, please go ahead.
Unidentified Analyst: Hi, everyone. I'm Willow on for Arjun Bhatia. Thanks for taking our question. So just wanted to ask on macro questions. Last year, you called out you're seeing stability in your base. Can you comment if you're seeing any changes here? And then also comment on any impact to net new as well, please?
Aman Bhutani: Yes. Overall, on the macro, we track the metrics I think we've talked about before and sort of, if I look at my dashboard, generally, we see some good, but we're keeping a close eye on things, specially election in the U.S. coming off. But broadly speaking, what I would say is when we think about our customer base, and Mark always likes to talk about our high attention, and I'm sure you will jump in with that. We're absolutely proud of that. But when we look at traffic coming in the door, we continue to see good gross adds. We continue to see good traffic coming to the site. And in pockets and those pockets can be geographic, those pockets can be sort of different customer segments. In pockets where we do see some sort of weakness, that's more than made up by how we've improved conversion, how we've improved pricing, all the sort of mechanics that we're applying within our seamless experience initiative. So I feel if there are a few, those are more than overcome. But broadly speaking, we continue to get good traffic, continue to get good gross adds and continue to maintain our higher retention rate for customers at 85%.
Mark McCaffrey: Yes. And just to add, when you take out the divestitures, when you take out the decisions we made around virals, and we look at the strong top of the funnel, what we are seeing is customers coming in with intent and how are we seeing it? Well, our ARPU is increasing, our ARPU is being driven by higher average order sizes from our customers when they initiate with us at the beginning. We see our customers attaching overall at a faster rate than they did years ago. So when you really peel through the ins and the outs of the customers, take out the divestitures, turn off the virals, we're seeing very strong behavior with intent at the front of the funnel. Now we are always subject things like valuations in aftermarket, and we've talked about that a lot, but the overall behavior of the funnel and the attachment is strong.
Unidentified Analyst: Got you. That's helpful. And one more follow-up, if I may. Can you comment on the bookings growth. So it looks like for A&C, it decelerated quarter-to-quarter. It seems like customer strength is good and pricing of that were continuing [indiscernible] take deceleration. If I can understand it better?
Mark McCaffrey: So I heard the deceleration part there, and I'll address that. And maybe if you can -- if you had another part to that, let me know it was cutting out. So on the deceleration, it's tougher comps. We went from Q2 comparison in '23 to Q3 comparison in '23. It was just the most difficult comps. The momentum in and of itself is the same.
Unidentified Analyst: Okay. That answers my questions. Thanks.
Mark McCaffrey: All right. Thank you.
Christie Masoner: Our next question comes from the line of Elizabeth Porter from Morgan Stanley. Elizabeth, please go ahead.
Mark McCaffrey: Hey, Elizabeth.
Elizabeth Elliott: Hi, thanks so much. I wanted to just circle back on the pricing and bundling expanding into the core platform in Q4. And when we think about the A&C segment, you guys saw a big improvement with this strategy and kind of growth there almost doubled. So how should we think about the benefit unfolding for the core segment where this bookings have been a little bit more muted in the 3% to 4% range? Is there anything we should consider about the opportunity in core being larger or smaller than what you saw with productivity?
Aman Bhutani: Yes, Elizabeth. It's a little too early to sort of putting numbers on it. But we will definitely talk more about it in the next quarter's call and from there. Generally speaking, our approach is the same. The way we're using the data, the way we're cohorting customers, the way we're testing the price elasticity curve, the way we're creating it, the way we sort of decide where to go on it. All of that methodology is similar, but it takes us really sort of getting into that customer cohort in a few weeks of executing that plan to really see what it's going to be. What we do see so far is that we are ready to start on it in Q4, but likely it will take a quarter or more for us to get that run rate going where we can talk about it with a little bit more data than we have today.
Mark McCaffrey: Yes. And Elizabeth, nothing to change what we've put out there as guidance for Q4. We're talking about the initial steps of it, and then we'll talk about 2025 when we get to the fourth quarter earnings call.
Elizabeth Elliott: Understood. Thanks. And then as a follow-up, I wanted to touch on the margin side. You referenced in the prepared remarks just increasing marketing initiatives to support the broader launch of Airo. Is that the main factor driving some of the margin contraction to 31% in Q4 from 32% in Q3? Is there anything else to call out? And then what are some of the puts and takes set up more broadly as we think into next year? What are some of the key levers that can offset increased marketing spend around ARL?
Mark McCaffrey: Yes. Thanks, Elizabeth. And just a couple of high level comments. In Q3, we benefited from a favorable product mix. Generally, we think our gross margins are going to be around 64%, give or take a 100 basis points. We saw a favorable mix within Q3. We saw -- for example, aftermarket was down about 1%, and that's a lower margin business for us. As we see our higher margin proprietary software be a better part of the mix. Our margins will lean towards the high side. If we see transactional having strength, we'll see that towards lowers on. So again, there will be product mix in there that will determine or impact on the gross margin. We had seen some front-loaded benefits from some of the restructuring simplification efforts we had, global recruitment we talked about hit into Q3. Those were front-end loaded and we'll continue to see those. And then the rest is what we alluded to was the timing. We just had timing of expenses like marketing that we'll see start to pick up a little more in Q4, still on target for the 31% we talked about, but some of that was just the timing and the expenses and how they're hitting.
Elizabeth Elliott: Got it. Thank you.
Christie Masoner: Our next question comes from the line of Josh Beck from Raymond James. Josh, please go ahead.
Josh Beck: Yes. Thank you so much for the question. I wanted to go back to some of the Airo comments realizing that you kind of had this discover, engage, monetize framework. So I think the discovery element of it was up maybe 3x quarter-over-quarter to $3 million. So is that, when we think about the marketing spend that Elizabeth just asked about, is that really the key metric that we should be thinking about in terms of it really ramping up in the year? And is there some type of maybe not specific goal, but could it reach a pretty sizable, could it be half of your base? Just curious on how we should be considering that.
Aman Bhutani: Thanks, Josh. Discovery is definitely an important metric, because without the discovery metric we can't feel confident that our customers are seeing the breadth of our products, both new and existing products. But if you had to sort of fall in on one metric and say, hey, which is the one that we really are focused on optimizing on. It's really the engagement metric that we want to keep very, very healthy, and it is very, very healthy, because as we spend in marketing, discovery will definitely go up, but we don't want engagement as a percentage of drop downs. We want customers engage with this because we have data for 25 years, and we know just from our own data and the data of other companies that the engaged customers enter the monetization phase in a much more favorable manner than non-engaged customers, right? Metrics like attached conversion, do much, much better for engaged users than they do for non-engaged users. So that's if you will, that is the quality metric. That's the thing that makes sure that our efforts are valuable and are going to create more value in the future. While I'm very happy about the multiple paths monetization for Airo, and we'll show you the paywalls and the teams are doing good stuff. And the website paywall doing well and even sort of monetization on coming soon and other being great opportunities for us. I would say, overall, in our three year plan at the Investor Day earlier this year, we purposefully put Airo outside of the three year planning, because we wanted to build a very large mode of discovery and engagement. Because that very large mode of discovery and engagement will, we believe, generate sort of recurrence for years to come.
Josh Beck: Super helpful. And then I also wanted to follow-up on this stat around double-digit containment rate improvements, I think with these GenAI bots, which I assume is something similar to a deflection rate. I wanted to clarify that. And could that be a much larger number over time and at some point, could you see benefits with respect to the P&L? Just curious how we can think about maybe where that could head?
Aman Bhutani: Yes. containment rate is like a deflection rate. It really points to the sessions where a customer asked the question and the conversational bot was able to answer the customer's question in a satisfactory manner, and that been resolved in sort of a chat being forwarded to a human agent. So seeing that sort of double-digit percentage increase in the bot being able to resolve the customer query or issues is a great first step. And look, of course, whether it's this or our guide assist part, which we call GABI, these are relatively new technologies. They're off to a great start we see great momentum in those over the next two to three years. It's our sort of our -- sort of ethos around this, and I've talked about this often. But in care, we want to provide a better experience at a lower cost. So our expectation is that care is a line item will continue to leverage, and we will continue to provide a better and better and better experience for our customers. And one of the ways that we're doing that is by having better technology in care. That makes our guides more successful, that makes our customers more successful, and while retaining some of the secret sauce of care that we have as a company.
Josh Beck: Really helpful. Thanks so much.
Christie Masoner: Our next question comes from the line of Ella Smith on for Alexi Gogolev at JPMorgan. Ella please go ahead.
Aman Bhutani: Hey, Ella.
Ella Smith: Hi, Aman. Hi, Mark. Hi, Christie. Hope you are all doing well. So first, I have yet another question on Airo for you. So Aman, Airo is clearly a powerful open to all gram for new customers and it's clearly driving bookings. How are you balancing that with your ambitions to monetize the products? And when might monetization begin?
Aman Bhutani: Ella, thanks for the question. We -- our first goal is to being the largest mode of discovery and engagement. We want to be able to spend against Airo and build a virtuous cycle, a flywheel, if you will, where customers get care about Airo. They come in, they discover the set of products we have and they engage and buy into those products. That has a really good flywheel effect where it drives average order size up and it allows us to bid more in marketing to bring more customers to our site, right? And that's a lovely flywheel that can build on itself. So that's the first thing that we're trying to build in. And for us, the way to build it well is to focus on discovery and engagement and then monetization. In terms of monetization, absolutely super excited about it. Our teams are -- in fact, I would say, ahead on some of the monetization experiments versus what we had originally designed. It's great to see our become a great on-ramp for websites plus marketing. We wanted to become a great on-ramp for other products, too. Great. But it has to follow the discovery and engagement cycle, because I would love to be able to sit here and give you numbers on discovery and engagement that are much larger than where we are today. And these numbers are pretty large and fantastic as is, but I think they can be much bigger.
Mark McCaffrey: Yes. And I think when you think about our overall framework, we're always trying to make sure we're heading towards our North Star that we talk about free cash flow. And that means balancing our investments with where we see the return and making sure we're doing it to drive LTV and shareholder value over the longer term without trying to push ourselves into a specific area too quickly that would basically jeopardize that over the long term.
Ella Smith: That makes a lot of sense. Thank you both so much. And as -- and for my follow-up, we saw news at the end of the day that you launched a reseller program. Can you shed some light on the strategic thinking around that program and how the economics will look like?
Aman Bhutani: Yes. The reseller program is just about the maturity of our products, Ella. It's pretty simple from, I would say, a natural progression of our product capabilities. You can imagine, as our products -- let's take the example of website plus marketing, where we did do a press release around APIs being available as an example. You can think of websites marketing, not only the fantastic website builder, it's sort of the number one in terms of producing the best sites. If you're building website plus marketing, it's going to build a very, very capable website for you that will perform very well in Google. But how do you sort of expand beyond the folks that are coming to you? And the natural extension is to be able to put give some of those capabilities into partner systems. And the best way to do it is through APIs. But what we have as an advantage as a company is not only exposing those APIs for website plus marketing, but we're able to leave in APIs that power other things that Airo can bring into the mix, right? So just like we're going out to customers directly, and we're exposing them to Airo and looking at discovery and engagement the reseller program or the APIs our way of trying to sort of work with partners and say, let's see what we can do given our expanded capabilities, given our expanded tool set where our product offering can show up natively in our partner experiences.
Ella Smith: That makes a lot of sense. Thank you so much.
Aman Bhutani: Thank you.
Christie Masoner: Our next question comes from the line of Brent Thill from Jefferies. Brent, please go ahead.
Unidentified Analyst: Hi, thank you. This is Chand [ph] on for Brent Thill. Two questions. One, as you made the Airo available in over 180 countries, just wondering if you could talk about what's been, how the response has been different versus, let's say the initial launch within the U.S. Any sort of change difference in behavior or attach? And then the second question is around the normalized EBITDA margin. Obviously, that's been expanding faster than expected. And your goal is still 33% in '26. So it seems like that looks very likely to overshoot that. Wondering if there are any factors why that may not be, why we shouldn't be extrapolating from here? Thank you.
Aman Bhutani: Yes. Maybe I can take the first one, and Mark, you can take the second one. So on the launch of Airo, John, the way we look at it is that we've got the U.S. market, which is obviously where we started in our largest market, and we've shared some of the data with you on how well that is going. The next stage is the English-speaking markets. These are our bigger markets around the world, just what you would expect them to be like Canada, U.K., Australia, right? And then we have a set of developed markets and, I would say, emerging markets. And it's too early to talk about sort of those emerging markets. And how Airo is going to perform there. It's still relatively new as an off rate. But in the broader English-speaking markets, we're actually taking the learnings from the U.S. and looking to apply them in all the other English-speaking markets. And of course, we expect it to perform maybe not exactly the same, but at a similar level in those markets.
Mark McCaffrey: And then I'll just -- on the normalized EBITDA, we've talked about the three buckets that are a tailwind to get us to the 33% in 2026. We've talked about the acceleration of A&C being a big part of the picture. We've talked about the infrastructure simplifications. We also talked about the global talent pools. We're really happy on our accomplishments, especially around some of the front-loaded elements of this. If you remember, we took restructurings last year that now are really showing up into our expansion of normalized EBITDA this year. Some of that was front-end loaded. So we'll start to see continued benefit in those three buckets to get to the 33%. We feel really comfortable with that. But we did see some of that front-loaded related to the restructuring.
Unidentified Analyst: Thank you very much.
Christie Masoner: Our next question comes from the line of Chris Zhang from UBS. Chris, please go ahead.
Aman Bhutani: Chris?
Chris Zhang: There's a button to click. All right thanks for taking our question. So how do we think about -- how should we think about your investment needs in 2025 versus 2024 in addition to the market investments? Can you maybe just rank order a couple of areas you're focusing on next year? And then I have a follow-up?
Mark McCaffrey: Well, Chris, we'll talk about 2025, when we get to Q4 earnings. No doubtedly we'll give some details of where we think things like our investments are going to be. But there are areas we talked about on this call. Marketing is one of them. We continue to see the ability to accelerate Airo. We see the customer engagements and the behaviors around it. And then we also think about, I always say there are two important things within our growth, which is innovation and owning the customer relationship. And those are about what we spend to innovate and meet our customers' needs and things like our care organization. We see great leverage across those lines, but we'll continue to invest in what the future is to drive the long-term value.
Aman Bhutani: Yes. Maybe just add to this quick short summary is that our Investor Day framework is still intact, right? We're making great progress on it. We're working to maximize free cash flow and the components of it to 6% to 8% growth and 33% margin in '26. Those continue to sort of be the path.
Chris Zhang: All right. Sounds great. I appreciate the color. And I guess, as it relates to marketing investments specifically, maybe can you share with us what guardrails you're applying to determine the label of your spend? Or maybe just directionally how that differs from among the various product offerings in your A&C portfolio?
Aman Bhutani: Yes. On the marketing spend, we've invested in sort of very good guardrails driven by data and machine learning that gives us great commentary [ph] on our marketing spend and return on it. And our goal is to stay within our guidance range, what we're really building is the opportunity to drive more discovery for Airo, drive more engagement with Airo and get some of those returns and then be able to reinvest them back in. So it's really about sort of kickstarting that flywheel with a great product suite we have in place now.
Mark McCaffrey: Yes. And our disciplined approach hasn't changed around this. It's about measuring the ROIs and making sure that we feel comfortable that where we invest, we will get that disciplined ROI we always talk about.
Chris Zhang: All right. Sounds great. Thank you for your color. And look forward to seeing your team in Arizona.
Aman Bhutani: You too.
Mark McCaffrey: You too.
Christie Masoner: The next question comes from the line of Naved Khan from B. Riley. Naved, please go ahead.
Naved Khan: Yes, hi. Thanks a lot. So I got a couple of questions. One is this 40% of paid develop subscribers coming originating through Airo. That's pretty impressive. I'm just wondering how that share that comes through Airo has kind of trended over the last three or four quarters, since this Airo has been kind of live. So that's one. And the second question I have is just around the on ramps. So now that you're extending Airo into the sort of website first kind of on ramp, I'm trying to just kind of think about the relative size of the on-ramps for the business? How should -- what's the right way to think about domains versus websites.
Aman Bhutani: The share for Airo over the last few months -- we're not orders. We don't have orders of data its months, right. Over the last few months have been increasing, but obviously accelerated by some of the payroll work, right. And then is going to take a couple of quarters to see how the payroll performance with our regular TAT. The number jumping to 40% is a clear signal that customers looking forward just to have and all liking it. So that is a positive. In terms of the size of the different on ramps. Ultimately what we plan to do is doing all the [indiscernible] together with Airo, right. We're trying to take these things that today are different and make them very similar for the customer and the future doesn't had what product they've bought. They actually end up being Airo.
Naved Khan: Got it. I actually meant to say quarters not months, thanks for correcting me. Where do you think this could land as you continue to kind of own the offering and improve it you think it's nor the 50%, just high level thoughts there?
Aman Bhutani: I think we're just starting on Airo. So we're not in the year end. We have celebrated the first year anniversary for Airo, which took us very early. I think we have [indiscernible] for Airo and just looking forward to what -- how far we can go ahead. It's frankly too early for us that we see an [indiscernible] the percentage quickly there.
Naved Khan: Great, thanks so much.
Christie Masoner: Our last question comes from the line of Clarke Jeffries from Piper Sandler. Clarke, please go ahead.
Clarke Jeffries: Hello, thanks for taking the questions. So first, I wanted to ask about specifically a call out in the prepared remarks about the 46% of EBITDA margin A&C being driven by the strength of high gross margin proprietary solutions. I just wanted to ask, is that principally website and marketing? Or is there any other kind of driver in that bucket of proprietary solutions? And then as a follow-up, there is a pretty notable market event in the last quarter, a disagreement between a Managed WordPress vendor and the largest contributor to WordPress. Aman, do you see that as largely irrelevant to the long-term progress WordPress? Have you seen any kind of conversation in your customers or partners that have reacted to that out to that event? Any kind of thoughts on that would be really appreciated. Thank you.
Aman Bhutani: Yes. Happy to take that. And you generally knew about it correctly in terms of the high margin products, the proprietary systems the ones we build and [Technical Difficulty] higher margin. And then the third-party products that we still tend to be a little bit lower margin rate versus the first step. Now if you sort of stack them together, of course, websites with marketing ranks very, very high in the -- all of that work is done internally, and we're able to sort of put that product forward in a very, very competitive manner. In terms of the broader question about WordPress, as you are aware, WordPress is the largest content management system in the world, right, over 40% of websites run on it. I give tremendous credit to everyone that's part of that immense success story. And we as GoDaddy we are the top 3 or top 5 contributor to WordPress depending on how you calculate contributions. There's a bunch of public data on it. So we are for the WordPress community. We are part of the WordPress community, and we believe that WordPress is here to stay. Our focus really is to build magical experiences on top of WordPress. And I'm actually excited to show you conversational WordPress at our Investor Dinner which takes the harnesses the power and massive capability that WordPress has and allows our customers to do things with it without meeting the technical expertise to do it. So those are the things that we're really interested in is to take this massively capable platform and bring it to sort of empower our customers to sort of do amazing things with it.
Clarke Jeffries: Thank you very much.
Aman Bhutani: Thank you, Clarke.
Christie Masoner: I'll now turn the call over to Aman for closing remarks.
Aman Bhutani: Just a quick mention. Thank you to all GoDaddy employees for another great quarter, and I appreciate how everyone has worked hard and looking forward to the next few quarters and years. Thank you.